Operator: Welcome to Century Casino’s Q2 2008 earnings conference call. This call will be recorded. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. I would like to introduce our host for today’s call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin.
Peter Hoetzinger: Thank you, Lindy, and welcome everyone to our second quarter 2008 earnings conference call. Joining me on the call today are my co-CEO and Chairman of the company, Erwin Haitzmann; Larry Hannappel, Senior Vice President and Chief Operating Officer, North America; and Ray Sienko, Chief Accounting Officer. Before we begin, I need to remind you that in our remarks today, we will be discussing forward-looking information which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements whether as a result of new information, future events or otherwise. We provided detailed discussion of the various risk factors in our SEC filings and encourage you to review this filing. In addition, throughout our call, we may refer to several non-GAAP financial measures, including but not limited to adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release and in the 10-Q filing, all of which are available in the investors section of our website at www.cnty.com. Let me now present the results of the second quarter 2008. Net operating revenue came in at $21.5 million, down 5% year-over-year but up 3% from the first quarter of this year. Adjusted EBITDA was 4.6 million, which is also 5% lower than in the second quarter of last year, but 4% higher compared to the first quarter of this year. One out of our 19 casino operations continues to substantially lag behind in performance and that is Womack’s Casino in Cripple Creek, Colorado. The slow economy, increased fuel prices, and the newly introduced smoking ban in Colorado all had an effect. In addition, that casino lost customers due to recent renovation works and due to the opening of a new competitor in May this year. All these major effects have contributed to a decline in revenues of that casino of 36% year-over-year. The highlight of the quarter was the Century Casino and Hotel in Edmonton, Canada. Revenues increased by 29%. EBITDA almost doubled and net earnings more than tripled. On a consolidated basis, we generated earnings per fully diluted share of $0.04, the same as last year and beating First Call consensus estimates by 33%. We achieved that even though annual stock compensation expense is $0.5 million higher this year compared to last. Net cash provided by operating activities was $2.4 million, up from the $1.3 million of the second quarter of last year. Our net debt stands at $44 million. In the first half of this year, we have paid down $8.7 million of our debt. In forecasting 2009, we see stock compensation expense going down by approximately $0.5 million next year. Both the continuing reduction of our debt resulting in a decrease in interest expenses and the decrease in stock compensation expense should lift our earnings per share next year even if revenues or EBITDA would not go up at all. But, we are optimistic about future revenue growth at our properties; more about that in the following property by property discussion in local currency. As mentioned, our revenues at Womack’s Casino in Cripple Creek, Colorado fell 36% year-over-year. Really produced positive EBITDA and positive net earnings. We all know that challenging environment in the whole Colorado gaming market, but Cripple Creek is the only one market in Colorado that also has to absorb the opening of a new quite large competitor in the second quarter. Even though Womack’s has maintained a positive reputation throughout the years, half of our loyal player base have tried other casinos during our recent extensive refurbishment works. With the remodel complete, new top management, and upgraded restaurant operation, more innovative direct marketing strategies and improved guest service, we hope for Womack’s to win back market share over the next 12 months, but that will certainly be an uphill battle and we can use all the help we can get from an improvement of the overall economy in Colorado and the US. However, if the new gaming initiative passes in November, we'll talk more about that in a minute, the Cripple Creek market could grow substantially. The city has a master plan vision to create a tourist attraction and we own enough land around Womack's Casino to grow with it. The Century Casino in Central City, Colorado continues to consistently perform better than the rest of the surrounding gaming properties. While the City gaming revenue fell 16% year-over-year, our revenue decreased by 9% only. EBITDA in that property actually increased 13%, with the casino operating at a 26.3% EBITDA margin, which is not bad at all under the challenging market conditions. In comparison, a margin line (inaudible) just reported an EBITDA margin of 27.6%. Our casino has a great reputation for guest service and a boutique style hotel with its food and beverage operations serve as an additional draw for our quality and value. Should the gaming minutes be increased in Colorado, also that property has additional building space in which to develop more spare rooms, a conference center and amenities such as spa, leisure and retail center. The casino’s location is the most visible and accessible as you enter the city off the main highway from the Denver area. Third quarter has historically been the strongest in Colorado and we expect that to be the same this year. The Colorado casino market is poised to evolve into a much larger gaming scale with the anticipated passage of a November ballot initiative that would allow increased betting limits to $100 per game, additional gaming hours up to 24 hours a day, and the additional craps and roulette games. We understand that current polls indicate a 60% to 65% approval chance. The gaming count [ph] Central City and Cripple Creek are close enough to Denver and Colorado Springs that they should capture an increased market of higher level players that are currently going to larger gaming destinations, not just Las Vegas. If this initiative goes through, we believe it will substantially increase the market and have a substantial positive effect on our two casinos. We also believe that Denver is a very progressive city that has weathered many of the negative economic factors that has affected the United States. The Denver area will continue to grow and prosper economically, and gaming will continue to benefit from that. At two and a half hours flight north of Denver, the Central Casino & Hotel in Edmonton, Canada was the highlight of this quarter, more than tripling its net earnings. The EBITDA margin at that debt property climbed to 39%. We saw increases in all aspects of the casino such as paper drop [ph] and win, slot coin and win, as well as revenue from poker which tripled compared to the same quarter of last year. The casino operates in a market of only seven gaming competitors within the greater area of Edmonton. That area has over 1 million residents and our casino is the only one located in northeast (inaudible) of the city which is fast growing. Our casino is expected to continue to benefit from its competitive edge over the local competition by offering a live entertainment show, hotel catering facilities, a strong monthly direct mail program, and heated underground parking that can accommodate 300 cars. The Edmonton economy has continued to exhibit solid year-over-year growth primarily driven by high-energy prices, future investments into oil sands, strong construction activity, growth in personal income and healthy customer spending. Greater Edmonton is in line for continued expansion. The anchor [ph] industry in the region, the energy sector, attracts billions of dollars of investment to the Edmonton region creating employment opportunity for a population excess of 1 million people. In ’06, annual economic growth was measured at 5.5% and growth is forecasted to continue an average of 4.5% per year through the end of 2012. Our properties also expected to benefit from the city’s $25 million Fort Road redevelopment project that is currently under way and is time lined through 2010. The master plan involves two significant components, the widening of Fort Road in front of our casinos to six lanes from four lanes to accommodate anticipated traffic increases and the development of a new urban village with a revitalized commercial sector and residential community of up to 1,000 units adjacent to the existing light rail train station which is adjacent to our casino. We anticipate a continued healthy growth in revenue, EBITDA and net earnings for the foreseeable future. Century Casino, Edmonton may also qualify for an upgrade of the existing slot machines, or additional machines from the Alberta Gaming Commission within the next 12 months, which will give it a further boost. In South Africa, our Caledon resort near Cape Town increased revenues by a couple of percent. We lost some market share to the larger casino in Cape Town. We believe that the additional 500 slots to that Cape Town Casino as well as rising fuel prices during the second quarter of 2008 have led some customers from Cape Town to gamble in Cape Town as opposed to traveling to our location. But the gaming market in South Africa remains quite strong and we project to finish the year showing growth in revenues, EBITDA and earnings. The EBITDA margin currently is at 34%. The hotel has maintained an average occupancy of over 70% for 2008 so far. The Century Casino Caledon is situated in the Western Cape province of South Africa, which has a total of 5 casino licenses. Caledon is situated on the national highway called Main [ph] Route in the (inaudible) area with over 230,000 residents, one hour from Cape Town. It’s also located in close proximity to very popular holiday destinations like Hermanus, (inaudible) and Somerset West, all approximately 30 minutes drive away. All five casino licenses for the rest of Cape Town province have been issued. No other casino is within 50 miles of ours. The Central Casino in Caledon is expected to continue benefit from also offering a four-star hotel, restaurants, catering facilities, conference venues, a spa, free parking areas and thermal hot springs. We also see the casino further benefiting from the following planned developments in the immediate surroundings; the development of an 18-hole signature golf estate designed by Trevor Immelman, the US Master’s Champion of this year. This estate will also have 330 land parcels and 150 lodges. It’s situated adjacent to the casino and will cater for the higher end market with more disposable income. So far, we have spent approximately $1 million on that project and we plan to spend another $1 million over the next 12 months, until all the approvals and permits are in place to commence construction. No further CapEx is planned from then on as local developers will take over. The development of a gas station retail outlet that will open [ph] from the highway into our property would also benefit our casino. We'll benefit from the spin-off created by additional traffic. There’s no CapEx required from us and this project is expected to commence with construction next year. The development of a shopping mall, small business park, and some residential units next to that gas station will also benefit us. Again, no CapEx required from us and this is expected in 2010. The municipality of Caledon will also within the next five years develop additional 800 residential units and houses within close proximity of our location. In addition to that, there is a development plan at the local airport with residential estates and there’s also no CapEx of course required from us and this will also start next year. Finally, we will benefit from the tarring of the roads linking Caledon to the coastal tourist town of Hermanus, which is also expected to commence within the next three years. For these and/or other general community projects, we plan to contribute less than a $1 million over the next two years. Our casino and hotel in New Castle, South Africa reported a revenue increase of just over 3% and a net profit increase of 30%. Hotel occupancy increased to 70% and the average room rate also increased by 15%. Century Casino New Castle is situated in the KwaZulu-Natal province. Closest casino is more than a 2-hour drive away. New Castle has over 420,000 residents and is situated halfway between Johannesburg and Durban. It is also a popular holiday destination for tourists to the KwaZulu-Natal midlands and Drakensberg mountain area and a stopover for traveling businessmen. All casino licenses for that province has been issued as well. Our casino is expected to continue to benefit from its geographic exclusivity and also from its offering of a four-star hotel, restaurants, catering facilities, conference venues, and free parking areas. We expect growth in revenue, EBITDA, and net income in 2008 over 2007. The local economy of that area has continued to exhibit solid year-over-year growth. This is primarily driven by large mining and steel industries in the area and by being located on one of South Africa’s major traffic routes. We believe that Century Casino in Newcastle will benefit from the following three developments in the area; none of which require any CapEx from us. Firstly, construction has already commenced on a golf estate in close proximity to the casino. This will cater for the higher end of the market with more disposable income and as it's in close proximity to our casino, it's expected to benefit. Second, the development of a shopping mall directly linked to our casino which is expected to commence with construction next year. And third is the steel giant Mittal Steel is planning to invest over 2 billion rand, which is about $300 million in the upgrading of the existing plants and the further expansion of the business in the area. Poland, the EBITDA of Casinos Poland's Limited increased by 5%. Net earnings grew by 27%. Even though June revenues were the worst in two years, negatively impacted by the European football championships, Poland has 38 million in evidence [ph] with a labor force of approximately 20 million. Poland joined the European Union in 2004 and is considered to currently have one of the fastest growing economies of all Central European nations with an annual growth rate of over 6%. The gaming market in Poland is well regulated and monitored by the authorities. At the moment, 27 casinos and 195 slot arcades have received licenses from the Ministry of Finance. The ministry has authorized to issue one casino license for every 250,000 inhabitants per city and one license to operate a slot arcade for each 100,000 inhabitants. The outlook for the gaming market in Poland is positive, if the legislation stays the same. There are rumors about new gaming laws and different taxations coming out on a regular basis, but so far all the plans to change anything in the legal environment has been abandoned. A lot of things have changed within Casinos Poland after Century acquired one-third of the shares last year. The management was replaced. Infrastructures of the company have been reorganized which can be seen in the significant improvements and the cost of change in Casinos Poland’s net income. The economic situation for each of the eight properties – casinos of Casinos Poland is quite different. Management is trying to increase profitability of all casinos by renewing gaming equipment and refreshing the properties to continue to successfully compete with the competition. Casinos Poland will continue to concentrate on its main market which is the capital city Warsaw and has already applied for a separate slot arcade license to be able to operate even more slot machines in the company’s casino in the Warsaw Marriott Hotel which is the most popular and successful casino all over Poland. This also leaves additional space in the Marriott Hotel and already began works to double the size of the gaming floor of this casino. The opening is planned for the fourth quarter of this year. Our goal is to acquire the majority of Casinos Poland. Discussions are continuing but an outcome, if and when, is difficult to predict. In closing, let me also mention that in the corporate segment of Century Casinos Inc., we reduced corporate spending in the quarter by 16% to $1.7 million despite additional stock compensation expense of $335,000 in this quarter. That’s it from our presentation. Thank you very much for your attention. We can now start the Q&A session.
Operator: (Operators instructions) Our first question comes from Todd Eilers from Roth Capital Partners. Your line is now open.
Todd Eilers – Roth Capital Partners: Hi guys, how are you?
Peter Hoetzinger: Hi, Todd.
Todd Eilers – Roth Capital Partners: Just a few questions here. With regards to the gaming expansion referendum in Colorado, you talked a little bit about that, can you may be talk a little bit, I thought I saw somewhere that each city needs to pass the referendum, is that true? And if so what's the polling look like for the two cities that you guys are in?
Erwin Haitzmann: Hi Todd. This is Erwin Haitzmann. Yes, it's true. Each city has to do a separate referendum. Everything we hear is that each city considers it to be a cake walk. It's basically taken for granted that the residents – the constituents will vote for that.
Todd Eilers – Roth Capital Partners: Okay. And obviously the two big things there, the 24-hour operations and increase in the max bet and the addition of certain table games, what do you guys think would provide the most positive impact if those were to pass?
Erwin Haitzmann: Which – the measures individually you mean?
Todd Eilers – Roth Capital Partners: Yes.
Erwin Haitzmann: We think that the increase – probably the increase in limits is number one and number two would be the 24 hours.
Todd Eilers – Roth Capital Partners: Okay. And does your existing facility – if the referendum were to pass in both cities for you guys, what would the time frame – I guess, what would you – what's your existing capacity to maybe address and take advantage of those changes and what would your kind of future expansion plans look like?
Erwin Haitzmann: We already – as you can imagine, we are drafting plans already. So it will take space to accommodate additional tables and we will do that very quickly as soon as we could – as soon as it's permitted, we would certainly be right there. No real CapEx necessary other than tables and minimal interior design modifications. Let me point out one more thing with regard to this proposed new legislation that it would also mean in addition to the two things that you said and the addition of games like roulette and craps, is also the fact that if this passes, then any change in the existing tax structure would meet the approval of the voters again. And with regard to volume, it has been estimated that if this goes through, then the income – the tax income for the State of Colorado would almost double [ph].
Todd Eilers – Roth Capital Partners: Okay. Great. Next question, you guys have aggressively started to repay some debt. Given where your stock is at right now, would you guys – what are you looking at? Would you be paying down debt or buying back stock going forward? What are the plans there?
Erwin Haitzmann: Paying back debt, refinancing existing debts, and aggressive – and start again to aggressively pursue acquisition and development opportunities.
Todd Eilers – Roth Capital Partners: Okay. And can you maybe give us a highlight or kind of a summary update on where you're at with respect to new projects that might be in the pipeline, anything fairly near-term that you're working on?
Erwin Haitzmann: Yes. There is new things near term that we are working on, but not a very possible [ph] stage yet.
Todd Eilers – Roth Capital Partners: Okay and then I guess one last question for Larry. Tax rate, what should we look at that going forward? I know that's kind of always been all over the map there. What's a good range I guess going forward to the back half of this year and into '09?
Larry Hannappel: You're right, Todd. It does go all over the place and the reason for that is just because of the earnings levels in the US that a high tax rate and a lot of the earnings outside of the US being at a much lower tax rate of 3%. I really hesitate to predict exactly what's that going to be. I have always said that it was going to be in the 20% range but we’re much lower than that right now, so a 50% benefit. Sorry, we were just talking internally here. The benefit is coming from the US side. So if we look at a 50% benefit from the US side and the tax rate at 3% on the non-US side, plus Canada, I’m still saying around 20%, Todd. I know that’s not a very accurate answer because of the (inaudible).
Todd Eilers – Roth Capital Partners: That’s fine. I appreciate it. Okay. That does it for me. Thanks guys.
Operator: (Operator instructions) Our next question comes from Steve Altebrando from Sidoti & Company. Please state your question.
Steve Altebrando – Sidoti & Company: Hi guys. Do you have the EBITDA breakdown in rand in Caledon and Newcastle in the quarter and for the six months? I missed it if it was in the release, I didn’t see it, or in the Q.
Peter Hoetzinger: EBITDA of Caledon was 10,622,000 rand in the quarter and the EBITDA for Newcastle was 6,566,000 million.
Steve Altebrando – Sidoti & Company: And for the six months as well?
Peter Hoetzinger: Six months?
Steve Altebrando – Sidoti & Company: Or for the first quarter, either way.
Peter Hoetzinger: We have that. It was for Caledon 10,921,000 million and for New Castle 6,699,000 million.
Steve Altebrando – Sidoti & Company: Thank you and then –
Larry Hannappel: Peter, this is Larry. The actual EBITDA for Caledon in rand for the six months is 21,543,000.
Steve Altebrando – Sidoti & Company: Okay.
Larry Hannappel: And Newcastle was 13,265,000.
Steve Altebrando – Sidoti & Company: Thank you. And your tax rates, with the potential referendum passing in Colorado, how does that impact your tax rates? I know that it’s somewhat of a ying and yang in there, but did it freeze your tax rate? How does that impact you guys with your two properties?
Peter Hoetzinger: The increases the tax rate and with that, I mean the tax on gross gain [ph] and revenue, as it is now, if that was your question.
Steve Altebrando – Sidoti & Company: Yes. The question is, does it increase is or decrease it and what degree at both properties?
Peter Hoetzinger: Steve, are you referring to gaming tax?
Steve Altebrando – Sidoti & Company: Yes, in Colorado.
Peter Hoetzinger: It freezes it. It's the status quo.
Steve Altebrando – Sidoti & Company: Okay. It freezes it, where it is currently?
Peter Hoetzinger: Yes.
Steve Altebrando – Sidoti & Company: Okay, thank you very much.
Peter Hoetzinger: Which is a good rate.
Steve Altebrando – Sidoti & Company: Right. Thanks guys.
Operator: (Operator instructions) Our next question comes from Nick Danna from Stern Agee. Your line is now open.
Nick Danna – Stern Agee: Good morning, two questions from me. First, can you give us the revenue and EBITDA breakdown right now for our Casinos Poland?
Peter Hoetzinger: Yes. Hi, Nick. Casinos Poland had revenues of 31.1 million Polish zloty and Larry will give you the conversion rate in a second. It’s around 1 to 2 and the EBITDA of Casinos Poland was 3 million Polish zloty.
Nick Danna – Stern Agee: Okay, what does that translate to?
Peter Hoetzinger: Larry, you have that?
Larry Hannappel: All we have is – we’ve got net earnings in US dollars for Poland and for the six months – I’m sorry, for the three months June 30, it was $264,000 and for the six months it’s $1.644 million.
Peter Hoetzinger: Yes, but the conversion rate from zloty to dollars is about one to two. So that means that there’s a revenue of $31 million translating to about $15.5 million in U.S. dollars and the EBITDA was about $1.6 million.
Nick Danna – Stern Agee: Okay. And so is there – when you look at that business on a sort of quarter-to-quarter basis, I mean, it looks like the fourth quarter and first quarter are much stronger than the second and maybe the third, is that business that seasonal or is anything else going on in those numbers?
Peter Hoetzinger: The reason is that it’s mostly a low price [ph] market or aims for business travelers. And in Poland in the second quarter, we had – the whole month of June was the European football championships, so many people either stayed at home or they went to games or went to places where they could see. And the summer time is typically a bit slower because people go on vacation.
Nick Danna – Stern Agee: Okay.
Peter Hoetzinger: They tend to leave the cities.
Nick Danna – Stern Agee: Okay. And then it looks like your comments regarding growth at both Newcastle and Caledon in 2008, I’m assuming that’s in rand, but both of those are tracking for the first half a bit below ‘07 and so are there any of the factors that you outlined that should help the back half of 2008 to get them to above ‘07 levels?
Peter Hoetzinger: Recovery in the economy.
Nick Danna – Stern Agee: Okay. So that’s what you’re building in for the back half of ‘08 in South Africa?
Peter Hoetzinger: Well, that’s what one can hope for, nobody can predict it.
Nick Danna – Stern Agee: Okay. That’s all I had. Thanks.
Operator: (Operators instructions) And it appears we have no further questions at this time.
Peter Hoetzinger: Okay. Thank you everybody for your interest in Century Casinos and your participation in the call. For recording of the call, please visit Financial Results section of our web site at www.cnty.com. Thank you.
Operator: This concludes today’s conference call. Thank you for attending.